Operator: Welcome to the Quarter 4 2014 Bunge Earnings Conference Call. My name is Yolanda, and I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. It's now my pleasure to turn the call over to Mr. Mark Haden. You may begin.
Mark Haden: Great. Thank you, Yolanda, and thank you, everyone, for joining us this morning. Before we get started, I want to inform you that we have prepared a slide presentation to accompany our discussion. It can be found in the Investors section of our website at bunge.com under Investor Presentations. Reconciliations of non-GAAP measures disclosed verbally on this conference call to the most directly comparable GAAP financial measure are posted on our website in the Investors section. I'd like to direct you to Slide 2 and remind you that today's presentation includes forward-looking statements that reflect Bunge's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation and encourages you to review these factors. Participating on the call this morning are Soren Schroder, Chief Executive Officer; and Drew Burke, Chief Financial Officer. I'll now turn the call over to Soren.
Soren W. Schroder: Thank you, Mark, and good morning, and welcome to everybody. Bunge finished 2014 with higher year-over-year returns and strong cash flows. During the year, we focused on returns, clarity of strategy and execution, and made substantial progress on improvement programs across all segments. We have generated strong momentum. We're excited for 2015, and we are confident in our ability to meet our overall growth and return targets. Fourth quarter results were about $50 million below our target after adjusting for charges in sugar milling and mark-to-market impacts in Agribusiness and applying our normalized tax rate of 28%. So we did well, but we should have done better. Let me offer a little more detail on the results in each of the segments. In Agribusiness, we managed margins and flows well for the quarter, and our risk management approach was modest. Our North American and European operations performed exceptionally well, capitalizing on strong soy processing margins and executing large export programs. Grain origination had an excellent quarter in North America on the back of big crops and strong export demand. We have 60% less soy bought for new crop in Brazil compared to last year, and as we expect, record crops will see origination activity pick up sharply as harvests move into full swing during March and April. The transition from North America to South America this year should be smooth with less tension in supply and demand compared to prior years, and therefore, lower execution costs. The quarter was, however, negatively impacted by crush performance in China. While underlying demand for protein and oil continues to grow at a strong pace in China, industry capacity has grown just as quickly, leading to margin pressures that negatively impacted results throughout 2014. We did not realize a seasonal improvement in margins during Q4, and as the soybean basis delivered China moved sharply lower during the last part of December the adjusted downward devaluation of our inventory pipeline. This generated a loss of $30 million, which compounded an already challenged margin situation. Contrary to last year, the inverse in soybean prices delivered China is now minimal, and therefore, the margin risk profile is much reduced. Our ongoing approach to crush in China will emphasize smaller pipelines and increased commercial agility. One of our primary focus areas in Agribusiness is working capital management, and we did well in optimizing margins around the smaller capital base, which is reflected in a cash cycle reduced by 10%. In some cases, we passed on margin opportunities which did not have appropriate returns, and this discipline will continue. However, with larger crops, growth in trades, solid crush margins, $50 million for improvement programs in crush and logistics, reversal of the $80 million in mark-to-market hedges and new facilities on full stream in Brazil, Tefron; North America, Altona; and the Black Sea, Nikolayev, we are confident that we will grow both EBIT and returns during 2015. Food & Ingredients results were strong but not quite the record we expected. As many of our food activities are local currency based, the extreme foreign exchange volatility towards the end of the year created some headwinds. In Mexico, we experienced a $5 million negative effect from inventory valuations, which will reverse in 2015. In the Ukraine, we had a negative impact of $7 million as the local currency depreciated choppy towards the end of the year. Taking that into account, the quarter was a good one, especially in Brazil oils, North American packaging, and our Indian fats and oils businesses. Wheat milling in both Mexico and Brazil performed very well, and we are pleased with the integration and growth prospects in Mexico. Across both milling and oils, our commercial and operational improvement programs are on track, and we were able to offset most of the market headwinds during Q4. On top of volume growth of 3% in this year, those programs will generate approximately $40 million in earnings in 2015, and we, therefore, expect earnings in Food & Ingredients to grow nicely. While we continue to look for ways to reduce exposure to Brazilian sugarcane milling, our focus is to keep improving operations and to achieve our short-term financial targets. We made significant progress during 2014 in reducing fixed cost and improving harvesting and planting efficiencies. We have reduced replanting of canes to 35,000 hectares per annum, which will support an area of 175,000 hectares over time, down from 200,000 hectares. This level will still enable us to crush at full capacity with strong focus on yield improvement and ATR. We have route programs in place to improve both OEE and industrial yields at our mills, and our industrial team is focused and motivated. Combined with a better outlook for ethanol pricing in Brazil, strong power markets and our sugar hedging program, we are confident that 2015 will be better than 2014. Sugar trading activities finished a positive year, and we are happy with the prospects to grow this activity. So overall, 2014 was a strong year for Bunge on many fronts. We substantially achieved our financial targets, especially the ROIC of our combined Agri-Food business which ended up at 8.4%. Our sugar activities are stable, and the outlook in Brazil has improved. We have a clear strategy and growth objectives for the next 3 to 5 years, carry around capital allocation, and our improvement programs across all segments are on track. As we look into 2015, we are confident that our earnings growth and an Agri-Food ROIC target of at least 9%, the strong overall cash generation that will support both bolt-on acquisition and share repurchases, and we are confident about a nice growth trend towards our 2017 EPS and ROIC targets of $8.50 and 10%, respectively. Now I'll turn the call over to Drew, who will take you through the financial performance and outlook.
Andrew J. Burke: Thanks, Soren, and good morning, everyone. Let's turn to Slide 4 in our earnings highlights. Our total segment EBIT for the quarter was $271 million. This includes noncash impairment charges of $133 million related to our industrial sugar business. The impairment charge reflects the write-down of $113 million related to machinery and equipment, primarily at our Monte Verde production facility and $20 million of restructuring charges. Our total quarterly segment EBIT adjusted for impairment and restructuring charges was $409 million and slightly above the prior year. Our full year EBIT was $1.2 billion, which was $73 million below the prior year. Both the quarterly and full year results were negatively impacted by $80 million in new mark-to-market charges caused by hedge crush margins in our North American Oilseeds business and hedge bunker fuel positions related to our ocean freight contracts. Agribusiness had an adjusted quarterly EBIT of $319 million versus $346 million in the prior year. The $80 million mark-to-market hedging effect was similar in size to what we experienced in the third quarter. As that effect was realized into earnings during the fourth quarter, new mark-to-market effects replaced it. These will reverse to income during the first half of 2015, and therefore, add to an already good outlook for the year. Our North American Oilseeds business had record earnings. Crush margins were strong throughout the quarter supported by strong demand, a large harvest and limited South American export competition. South America performance was slightly below prior year due to limited farmer selling, and Europe was weaker than the strong prior year, primarily due to reduced sunseed margins. Asia had a disappointing quarter as margins were weaker than prior year and we incurred a $30 million loss on a value of our soybean pipeline. Our grain business performed above prior year as North America benefited from excellent execution, large crops and strong export demand. South America performed well on farmer selling of new crop corn, and European results were strong as we executed on our large program of shipments booked earlier in the year and realized the related margins. In Food & Ingredients, adjusted EBIT was $83 million and in line with prior year. Our edible oils business was slightly above prior year as strong performance in India and in U.S. packaged oils were offset by weaknesses in Europe, primarily due to the negative impact of currency and the economic situation in Ukraine. In the United States, higher packaged oil results were driven by increased volumes and margins and lower costs resulting from performance improvement initiatives to improve profitability, returns and our cost structure. Brazil performed in line with the prior year. Milling results were lower than the prior year as decline in corn milling more than offset the increase in wheat milling results. Corn milling reported both lower volumes and margins. Wheat milling benefited from the addition of the Mexican wheat mills, which continue to perform well and meet their synergy targets. Our annual EBIT of $300 million is a new record for Food & Ingredients and reflects the results of our performance management initiatives and the acquisition of the Mexican wheat mills. Our improvement initiatives continue to achieve their targets on growing customer relationships, innovation and cost reduction. Our adjusted EBIT for Sugar & Bioenergy is a loss of $9 million versus a loss of $35 million in the prior year. Industrial results were improved from prior year as cost reductions and higher margins and volumes in our cogeneration business offset the impact of lower sugar and ethanol prices. We performed below our expectations as our crush volume was below projections. Our biofuels business in both the United States and Argentina performed above prior year. Our merchandising results were below prior year. A key goal for the year was to operate our sugar milling business on a cash-neutral business -- basis. Adjusting for the impact of additional inventories carried into 2015 to enhance margins and certain machinery purchases pull-forward from 2015, we achieved that goal. The 2015 capital expenditure budget has been reduced to reflect the impact of the earlier machinery purchases. Our adjusted earnings per share for the quarter and year are $1.20 and $4.19, respectively. Let's turn to Slide 5 for a discussion of our tax rate. Our tax rate as reported is 32% and higher than the tax rate we forecasted earlier in the year of 23%. As stated previously, we do not recognize any tax benefits in our industrial sugar business. As a result, the impairment charges of $133 million had the effect of increasing our tax rate by 4 points. Our earnings mix increased the rate by an additional 5% as we had stronger earnings in the United States, where you have a high marginal tax rate and lower earnings in certain tax entities where we either do not recognize a tax benefit on losses or a tax that is significantly lower rate. These lower results occurred in the Brazil sugar entities, certain Asian businesses and some merchandising entities. These 2 items together bring us to our forecasted rate of 23%. While we continue to use 23% as our long-term effective rate, we are forecasting approximately 25% for 2015. The higher 2015 forecast reflects the strong earnings outlook for North America, particularly in the first half of the year where we have the most visibility. It also assumes our industrial sugar business operates at a modest profit. In the earnings highlights and tax slides, I have mentioned a number of special items, specifically $133 million in impairment and restructuring charges in our sugar milling operations, $80 million in mark-to-market charges that will reverse in 2015, and our tax rate. If we calculate our earnings per share for the quarter and year adjusted for those impacts and using a normalized tax rate of 28%, we come to quarterly earnings per share of $2.18 a share and a full year earnings per share of $5.25 a share. We consider 28% to be normalized tax rate for the year as tax benefits recorded as notables arise from strategies that were implemented in 2014 that will continue to provide benefits going forward. Let's turn to Slide 6 and return on invested capital. As Soren mentioned, this is a primary area of focus for us. We remain very disciplined on working capital management and CapEx spending. This focus has allowed us to significantly improve performance for 2013 and achieve results in line with our 2014 target despite the headwinds of the mark-to-market adjustment and the higher tax rate. Specifically, Bunge Limited's return on invested capital for 2014 is 6.6%, including the Sugar & Bioenergy segment but excluding the impairment charge. This compares to 5.8% in the prior year. Excluding the sugar segment and focusing on our core Agri and Food businesses, our return on invested capital is 8.4%, up from 7.5% in 2013 and in line with our target for the year of 8.5%. For 2015, we expect a return on invested capital of at least 9% for our combined Agri and Food businesses. Let's turn to Slide 7 and our cash flow highlights. We generated $1.4 billion in cash from operating activities in 2014, comprising $1.1 billion of funds from operations and $266 million from changes in working capital. This is the second year in a row of strong cash generation. We continue to manage -- maintain a strong balance sheet and liquidity position. At December 31, we had $4.5 billion of funding available under our committed credit lines. Let's turn to Slide 8 and our capital allocation model. We continue to use our capital allocation model to allocate our funds. Our first goal is to maintain our investment-grade credit rating, and we manage our balance sheet and cash flow accordingly. After that, we allocate funds to dividends, share buybacks, capital expenditures and acquisitions based on the alternative that provides the best long-term return to our shareholders. In 2014, we invested $839 million in capital expenditures, which was below our planned amount; purchased $300 million in shares; and paid dividends of $230 million. M&A activity was not significant in 2014, but bolt-on acquisitions remain a part of our growth strategy. We will continue to allocate capital following this model going forward. Let's turn to Slide 9 and the 2015 outlook. Overall, Agribusiness market conditions remained favorable as big supplies were met with solid underlying demand. Large crops in both hemispheres at lower prices have increased consumption and trade flows. In Oilseeds, the USDA is projecting 5% demand growth for soy meal and vegetable oil. The U.S. supply position is good, and we are expecting large crops in South America. U.S. and European soy crush margins remained strong and plant utilization to remain high until South America new crop comes to market. The South American season will start soon, and given the anticipated size of the crop and expected base of farmer selling, margins should be good. The China crush market should be less volatile but overcapacity headwinds will remain. Our European sunseed margins may be pressured by farmer retention of sunseeds, but rapeseed margins should be steady. Please turn to Slide 10. In grains, corn and wheat combined consumption is expected to grow about 2% year-over-year, which translates into 58 million metric tons. The U.S. farmer is holding sizable corn inventories, which should come to market in the first half of the year. The market will transition to South American supply in the March-April timeframe. The Brazilian farmers have sold less of new crop than typical at this point, so origination volume should be high. Our logistics are in place, and we should be advantaged in our ability to execute. Argentine results will be dependent on farmer selling. Overall, our European distribution business should do well. Our Food & Ingredients business is expected to have another strong year as our performance improvement initiatives continue to drive volumes and margins. The appreciation of the dollar will bring margin pressure and translation impacts, but overall prospect for earnings growth remains strong. Please turn to Slide 11. The market environment for ethanol in Brazil has improved. The institution of the CIDE tax and the increase in the blending rate from 25% to 27% both support margins. Our cost-reduction and productivity programs are showing results in both the agriculture and production areas. We have hedged most of our sugar sales at acceptable levels. As a result, we expect the sugar business to be modestly profitable and cash flow positive in 2015. The trading & merchandising business should also contribute to results. Overall, we expect to achieve a return on invested capital of 9% or better for our combined Agri and Food businesses on stronger earnings and continued discipline on working capital. We will now turn the call back to Yolanda to take your questions.
Operator: [Operator Instructions] Our first question comes from Ann Duignan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: It's Ann Duignan here. Can you talk a little bit more about the fundamentals of ethanol in Brazil? Just, I know the increased tax and the increased blending are a positive. What about the impact of lower oil prices and the real? Are there any other positives or negatives going into '15?
Soren W. Schroder: Well, in reality, probably not much to report in the sense that the price of gasoline in Brazil is fixed. So while the reduced overall crude oil price and global gasoline prices kind of have come down, thereby creating an import margin to Brazil at the moment, it is not likely that the government is going to change the fixed price of gasoline anytime soon. And that import margin, while it exists on the front end, it becomes significantly less as you look over the curve with the weaker real over time. So I think the gasoline price in Brazil for the foreseeable future is fixed, and the increase in the CIDE tax now gives about a -- probably about BRL 150 to BRL 275 per cubic meter boost to ethanol pricing, all else equal. And that really means that ethanol consumption should improve quite significantly as the pump ratio to the consumer is more favorable.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. That's helpful. I appreciate that. And then can you talk about the strike on the West Coast, whether that's impacting your ability to get crops out of the United States?
Soren W. Schroder: No, we have not been impacted by that. We had a very good program through EGT at Longview this past quarter, and it continues to run very smoothly. So we have not been impacted by that.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: And you don't anticipate any impact going forward?
Soren W. Schroder: No, we don't.
Operator: Our next question is from Adam Samuelson from Goldman Sachs.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: A question in Agribusiness and trying to think through the outlook and evaluate. How, if at all, has the outlook changed in some of the key business areas relative to the analyst meeting in December? And how did the 4Q performance in Agribusiness hit your expectations as you thought -- where you thought you'd be at the analyst meeting in December? Or was it the ultimate of [ph] the China inventory adjustment, the negative European sunseed, farmer selling in Brazil, et cetera.
Soren W. Schroder: Well, let's maybe start with the last part first. I think relative to where we were in the early part of December, we did as we expected with the exception of roughly $30 million or $50 million. As I mentioned, the Chinese inventory adjustment was something that happened towards the end of December that we couldn't have foreseen. So that's really the surprise, I would say, from -- or the disappointing part from my perspective for the quarter. If you add the $80 million of mark-to-market back in, which flowed into 2015, you would have had a $400 million Agribusiness quarter, which was reasonable, but again, $30 million to $50 million short of what I would have expected at that time. But in the quarter, I would say that we did better than I thought we would have. In North America, it went from being a very good quarter to a very, very good quarter and probably, a little bit less so in European softseeds. But on balance, we came out more or less as we expected with the exception of the adjustment in China. Looking into 2015, I think on balance, everything is more or less as we expected. Maybe a little bit of an extension of the U.S. crushing season. I think we are now looking -- you see export sales week on week continue at a brisk pace. So maybe we would have said march is when things change and shift to South America. Now we're talking probably more like April, so the U.S. might have bought itself another month of good run rate, so good margins, so that's an improvement. But other than that, I think everything else is as we outlined: big crops in South America, good margins in Brazil. Argentina, obviously, will be a bit of a question mark until we get there for the reasons of the financial volatility in that market. But our belief is that farmers will sell a fair amount of beans at harvest. And in Europe, we didn't really expect softseed crush to be anything substantial in terms of contribution until we get into the new crop with rapeseed in May-June and sunseed in August-September. So on balance, I think it is more or less as we expected. Maybe the U.S. has bought itself 1 more month of good run rates.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: And maybe just on China on the crush side. I mean, 2014 was a very tough year for yourselves and really the whole industry there. But the outlook commentary kind of you did point to continued overcapacity in the industry there. And has that made you rethink some of the investments that you've made in the space there and the need to actually be in crush in China rather than, say, in export or out of Brazil in the U.S. and keep the crushing in the Western Hemisphere?
Soren W. Schroder: I think last year was an exceptional year in terms of volatility and complexity in China. Not only did you have the overcapacity situation that we described, but you also had the impact of many of the financial players who got entangled in commodity flows, which compounded all this. So 2014 is probably not a good reference point for what's coming. We do believe things will normalize. But that being said, margins in China are likely to be, I'd say, fair, not bad but somewhere in the middle of the road, if I can put it that way. But don't forget that China is, at the end of the day, the completion of a value chain that starts in Mato Grosso or someplace in the U.S. And so when we look at the value of being in China, it's not just the margin we earn in China; it's the ability to connect the flows from farm to crushing plant, the destination plant logistics and secure outlets. And within that context, knowing that last year was really a record year for us in overall oilseeds, China has a place and will continue to have. But that being said, we can do things, and we're taking measures to be more agile. We do some of the exposure we've had historically, and the pipeline is smaller. But China, we have a great footprint. We have a good team. It'll continue to be a big feature of Bunge and a very important piece of, of course, leading overall supply and demand in the world market with China representing, I don't know, 65%, 70% of world trade. So we're happy with what we've got. We can improve a few things, which we are working on, but last year was -- I don't think, will repeat.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: Okay. That's helpful. Then maybe just last from me on the capital allocation front. Looking ahead, I know the investment-grade rating remains a kind of critical kind of foundation for how you think of your capital. But help us evaluate or think through incremental sort -- the opportunity to take on a little bit more leverage in the context of that rating and the appetite to do so for M&A versus repurchase looking into '15 to '16.
Andrew J. Burke: I think as we look into '15, while we don't give guidance, as you know, Adam, I did mention we do expect an increase in earnings. So we do expect a result, an increase in funds from operations as we move into next year. And when we do our planning at this time of the year, we kind of do it on a -- mostly on a working-capital-neutral basis. Maybe some increase is focused in there to represent the growth in the business. But as you know, commodity prices are -- we are not certain going out in the future, so it's not a big part of our planning other than we keep the liquidity capacity available to ensure we can fund whatever is necessary so we have the ability to move. So it -- as we've entered into this year, you assume a number for FFO to be a little bit bigger than last year's $1,100,000,000-plus. We would probably allocate a portion of that again. As we said today, the CapEx -- the dividends are quite certain, and then the numbers that are a little bit more variable, although CapEx is continually updated and looked at, so there's some variability. But the numbers that are more variable or what would be returned to shareholders vis-à-vis what we may do in the acquisition arena. We went through that process last year and allocated $300 million to purchase shares, and we didn't allocate much to M&A because the opportunities weren't there. We'll follow that same process this year. So how much will go to shareholders versus M&A will depend on what opportunities are in the market and what we can realize. From a rating agency standpoint, we think our ratios have gotten into a place where they're in very good shape. We always want to see them improve and be better around the investment grade, so we'll continue to stress that. But if we stay disciplined on our capital management and continue to grow cash flow, I think the investment-grade rating will take care of itself. The key is that we deliver on what we said we would do.
Operator: Our next question is from David Driscoll from Citi Research.
Cornell Burnette - Citigroup Inc, Research Division: This is Cornell Burnette in with a few questions for David. Just want to talk a little bit about mark-to-market. I believe back in the first quarter, there were about $50 million in mark-to-market losses related to ocean freight, which I believe weren't expected to reverse out until, I believe, the first half of 2015. So want to know if I got that right. And then just in general, that included -- inclusive of the $80 million mark-to-market loss in the fourth quarter would imply that there's something like $130 million of benefits from mark-to-market in the first half of 2015. So just want to see if that's correct.
Soren W. Schroder: Well, the $80 million that we mentioned, which is a combination of bunker hedges and crush margin expansion in the U.S., will definitely reverse in 2015 and most of it in the first half. The $50 million from Q1, I don't think we can plan [ph] that as that will reverse because what's happening between then and now is that overall freight rates have declined. So that what, at that time, would have been a 2015 picture where we had ocean freight inventory below the market, now I would say is more or less at market. So I think you should calculate or you should consider the $80 million as coming back as a matter of doing your models.
Cornell Burnette - Citigroup Inc, Research Division: Okay, great. And then looking at your ROIC targets for Agribusiness and Food, going to 9% return next year versus 8.4% last year seems to imply about a $100 million improvement combined from those 2 segments. And I wanted to know, given the fact that you'll have an $80 million benefit from mark-to-market presumably next year, how much better can the number be versus kind of that 9% figure that you gave out?
Andrew J. Burke: Cornell, I mean, we did phrase it in terms of at least 9%. As you know, as we look forward, we need to forecast earnings and what our balance sheet will be, which, in a commodity business, has a lot of volatility and can move. But I would say if your point is that the 9% feels conservative in the current environment, I would say that that's fair, but there's a lot of the year to get to. But I would say it is on the conservative side. To frame it a little bit, if we had, had the $80 million mark-to-market had stayed in '14, we would have come close to the 9% in '14.
Cornell Burnette - Citigroup Inc, Research Division: Right, right. Exactly. And then one more question is just -- obviously, we'll see a large crop expected in South America. I guess, we'll start to see better selling from farmers as we move closer to the harvest. Just wanted to get your take on how things are progressing now and what's your read on farmer selling during the first quarter.
Soren W. Schroder: Well, harvest so far is about 10% progressed. That's below last year's pace at the same time, so we're starting a little bit later in Brazil, and overall selling pace is well behind last year. I think we figure about 25% so far has been priced versus probably closer to 40% in prior years. So there's a lot of pent-up farmer selling that should occur over the next, really, 2 months in Brazil, and we're beginning to see it. The weakness in the real over the last days and weeks is clearly creating more activity. And so I'd say origination activity is, at the moment, is fairly brisk, and we expect that will continue over the next weeks.
Operator: Our next question is from Tim Tiberio from Miller Tabak.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Soren, with regard to your comments on increased capacity in the oilseed space in China, can you kind of frame up how much of the crush margin pressure is a result of capacity building versus the fact that China really has been in a process of substantial high herd contraction? I think sell herds are down 12% in the country. And looking at that backdrop, can you kind of explain why you think outside of -- obviously, the edible oil space, why that would be necessarily more positive for 2015 versus 2014 if we're in a situation where you're not seeing as much high [ph] expansion in China?
Soren W. Schroder: It is true that profitability in [indiscernible] particular has been challenged over the last year or so, but we still expect roughly a 4 million tonne increase -- 3 million to 4 million tonne increase in soybean imports to China in this coming season. And from what we can tell from our plants and our own marketing in China, meal is disappearing at roughly a 5% year-on-year increase. So there is still growth in China in protein consumption without a doubt, irrespective of the profitability, and we believe that, that will continue into the next year. But it is not the same, let's say, rate of growth as we've experienced in the last years. And so we're a bit more cautious about how we, let's say, position ourselves relative to margins, and we'll take a more measured approach to how we manage margins. So China, I'll say, is a bit of a flag for overall growth in soy trade, but it will still grow next year.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Great. And then my next question, looking at expansion of port terminal capacity in the Northern Arc within Brazil, there's been, I guess, mixed commentary around the improvement of road conditions through the Amazon and the capacity to -- I guess get products to those terminals in relation to the capacity that has been built. Can you just kind of give us a sense of how you're feeling the traffic congestion in first half of 2015 and whether it may take a little bit longer to actually tap into that obviously latent demand that everyone is expecting because of the transportation benefit towards the Northern Arc of Brazil?
Soren W. Schroder: Yes, I mean, this will be the first full year that we operate from our new terminal in Barcarena. We put have about 1 million tonnes through that last year, and this year, we're up and running now just as harvest is starting. So it will be an important, say, relief valve for us and will take the pressure off the flows that are going south, and we expect to run several million tonnes through there this year. Don't forget that a big piece of the journey from Mato Grosso to the terminal is by barge. So the collection point is in Itaituba [ph], where we load grain onto barges and then transport the barge up to the terminal. No different than we do on the Mississippi River in the United States. And so far, I believe we'll be able to do that without any major interruption. The key long term to this so is that we connect those barge-loading facilities with rail, and that is in the planning stages. It will take a few years before that's completed, I believe, but that is in the long-term planning. So ultimately, the efficiency of this quarter will have to become a combination of rail to barge to terminal, very much like you see in the U.S. That will be the most efficient way, and that's the way things are moving.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. But as far as the return profile, it doesn't seem that you're concerned that potentially port terminal capacity could get out ahead of the ability of the transportation infrastructure to keep up.
Soren W. Schroder: No, I think actually, this year is another year of where the industry, and certainly, Bunge has been able to plan well ahead of time. And planning and predictability, and hopefully, no -- well, it depends on whether you want rain or not, but the fact that it is rather dry at the moment creates no disruptions. And I really believe that we'll be able to execute the first 2 months of the program in Brazil without any major hiccups. It looks like it's even -- it looks like it's even more smooth than it was last year at the same time.
Operator: Our next question is from Ken Zaslow from Bank of Montréal.
Kenneth B. Zaslow - BMO Capital Markets Canada: So I have a couple of questions. One is, how much of your total capacity of ag business is in China? And what was the full impact of China in 2014?
Soren W. Schroder: Of our total crushing capacity, boy, I would say probably about -- hold on a second, let me do the math. Probably about -- yes, between 10% and 15%. So it's important, but it is not overwhelming. And I don't really want to get into the specific P&Ls of any regions but to tell you that we obviously feel we could have done better. But if within the context of our global oilseed franchise, which includes the origin as well, we had a very good year. In fact, it was a record in global oilseeds last year. So that's good. You should see it within that context, but we could have done better. Clearly, this -- the $30 million we talked about at the end of December didn't have to be -- we could have done better.
Andrew J. Burke: But Ken, I think while we're not -- we won't disclose the numbers, China was a drag on our earnings throughout the year as it was a drag on the industry. Margins were depressed there partly because of capacity, partly because the financial players moved a lot of soybeans from origins to China, and more that were necessary that then got forced through the crushing system with depressed margins. So if we look into how China performed in '14 versus prior years, there was a reasonably significant decline in that performance.
Kenneth B. Zaslow - BMO Capital Markets Canada: So if I think about it, is $100 million a reasonable guess? I'm not asking for an exact number, but it seems like the $30 million-plus, it sounds like $70 million of less-than-exciting margins seem to be the right answer. Is that a fair bet?
Andrew J. Burke: It's in the neighborhood.
Kenneth B. Zaslow - BMO Capital Markets Canada: Okay. Then how does this quarter's profit in Agribusiness translate into a run rate going into 2015? If I think -- if I add back the $80 million, is that -- is the ag business what it would be with that $80 million a run rate -- a quarterly run rate? I mean, it sounds like what you're trying to tell us is, look, each quarter has a good predetermined flow of earnings associated with that. Is that a fair way of looking at it?
Soren W. Schroder: I mean, there will be some seasonality, obviously, throughout the year, but reality is that the last 3 quarters, we've delivered EBITs and combined Agri-Food in excess of $400 million. And I think as you sort of look at that on an annualized rate, that's probably a correct measure of -- or a fair measure of our current earnings power, and then we can grow from there. But I don't know that you can say that $400 million or $380 million -- yes, $400 million if you add the $80 million in mark-to-market, that's not necessarily an ag run rate every quarter. But we will certainly have quarters like that next year or this year, but I think the $400 million for the last 3 quarters that we've delivered overall Agri-Food is a fair measure.
Kenneth B. Zaslow - BMO Capital Markets Canada: Okay. And then on your tax rate, just to make sure, you're not actually paying cash taxes of that 50% tax rate that you had today -- that you reported today?
Andrew J. Burke: No.
Kenneth B. Zaslow - BMO Capital Markets Canada: You're not physically paying that. That is a noncash tax number that you're actually putting out that hit your numbers. Is that a fair way of looking at it?
Andrew J. Burke: I don't know that I just want to say yes, Ken, and the number that we reported is not the amount of cash we pay in tax. Certainly, we do pay some cash taxes around the world, but in other places, we have significant tax attributes available. If you look at our disclosures in our quarterly and annual filings, we have significant tax assets available in Brazil and tax credits. And we've paid no or very little cash taxes in Brazil, as an example. So your thesis is correct, but it's not that we pay 0 cash taxes.
Kenneth B. Zaslow - BMO Capital Markets Canada: Okay. And then the last question on sugar is, given that the environment -- what is the quality to which that you're able to forecast this business? It seems like you're really not that good at that. And why this year has been...
Andrew J. Burke: In sugar? I'm sorry.
Kenneth B. Zaslow - BMO Capital Markets Canada: Yes, sugar.
Andrew J. Burke: Yes, I think in sugar, I assume you're asking a question because we missed in the fourth quarter. There were -- it depends whether you're talking about short-term forecast or long term, so let me answer both a little bit. In the short-term forecast, we were off on the amount we were able to crush in the fourth quarter, not by a significant amount, but as we've said before, sugar is very leveraged on a -- to the crush rate. So 1 million tonnes of crush has got a big variable margin with it in the area of $30 million, $40 million. So if you miss your crushing targets by a little bit, it moves, which makes forecasting that business difficult. And if you're talking about an annual forecast, as we stated earlier, it's a harder business to forecast because you're making a lot of assumptions around weather and crop yields and sugar yields, et cetera. So we try to make a reasonably conservative forecast factoring all of those factors in, but it is not the easiest business we have to make a forecast to.
Kenneth B. Zaslow - BMO Capital Markets Canada: Again, what is the level of confidence you have on this time? I mean, it almost sounds that you have more confidence, but I can't figure out exactly why.
Andrew J. Burke: I don't know that we would say that our forecast accuracy has improved because we still have to get through the weather and we still have the impacts of Brazilian policy, et cetera. I think why you hear a more -- what we're saying in a more positive commentary is policy in Brazil has turned much more positive. So the CIDE impacts -- tax increase is supportive to the industry. The increase in the blend rate is supportive to the industry. There've been a couple of state tax actions that are supportive. So the environment is better, but we still have a lot of variables that we -- that you get through as you go through a year in sugar. That could be better or worse than we forecast, frankly, but it's very hard to forecast the Brazilian weather for us. So there is always going to be, particularly in the early part of year, a range around where it will come out. And also a reminder, most of the money is made in the second part of the year, so when you're talking to us in February, we don't know the exact crop size, we don't know the exact yields. As we get more into the crop, the variables decline. The other key thing around our sugar businesses is our real focus as a management team is to make sure we're running it in a way that in most -- in almost all forecasted outcomes, clearly if you get to either tail, it may not -- to the lower tail of it, it may not be the case. But in reasonable outcomes, we'll be cash-neutral or positive. So that is the way we drive the business and think about it and spend a lot of time focusing on exactly how much we're investing and how we're going about running the business to keep it cash-neutral or positive.
Operator: [Operator Instructions] Our next question is from Brett Wong from Piper Jaffray.
Tyler Lee Etten - Piper Jaffray Companies, Research Division: Yes, I'm here. This is Tyler Etten on for Brett Wong. I was just having -- I had a question about Brazil exports, what your guys' anticipation will be for the first quarter out of there and if you expect the same strength out of Europe that you saw in 2014 out of the crushing business.
Soren W. Schroder: Brazil, I'd say, February will be lower than a year ago by probably 1 million tonnes or so. In March, forward, it will be the same pace, maybe a little bit higher. So first quarter, Brazil in total is probably just a bit below last year's -- last year, a very strong pool [ph] and -- don't forget it's a little bit of a different market environment this year than last year. So very strong export programs but not the frenzy we saw the last 2 years. And in Europe, I'll say our views on crush, in general, is that soy crush will remain favorable in Southern Europe, probably throughout the year. And soft seed crush, so rape and sunseed will be skewed towards the last half of the year. We expect good margins there, so I think, in general, probably a similar environment as we had in 2014.
Operator: Our next question is from Robert Moskow from Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: Soren, I was hoping to get some further color on Brazil and your expectations now. The farmer selling certainly seems like a -- slow farmer selling sounds short term like it always is. But regarding crush utilization and profitability and crush margins in Brazil, why should that get better? Is that just going to get better because there's more volume to crush? Or is there also a good demand function in Brazil right now for livestock production and livestock producers?
Soren W. Schroder: Yes, I would say the domestic demand base in Brazil is very strong, and certainly, the weak real will make Brazil an even more competitive origin for meat exports. So I think the domestic demand base is very favorable and somewhat different from the last couple of years is that the export pool of beans is less. Like I just mentioned, February exports will be 1 million tonnes less than it was a year ago because the U.S. is in a position to supply a longer period. We're not running out of beans in the U.S. this year as we did the last 2. So that the export pool on soybeans in Brazil is a little bit less dramatic than we've seen it, and the farmer has still a lot of beans to sell. So the combination of those things is favorable to domestic crush -- to domestic crush margins, and we haven't -- we have a fairly sizable year-over-year increase in soybean meal trade actually. So soybean meal trade was stagnated for a few years, has resumed again. And at the moment, it is mostly supplied out of the U.S., which has been good for margins here. And that will shift into Brazil as we get into sort of March and April. So I think the overall environment for margins in Brazil is better than it was last year or at least as good.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. And kind of a follow-up to Ken's question, I think. If I look at 2014, there were ocean freight kind of hedging issues and then the China basis miss in fourth quarter. But my understanding is that you have instituted policies and made people changes so that the company is taking less risk, not more risk. So can you talk a little bit about whether these hiccups this year -- were they a function of, gee, we had too much risk in our positions, or we were taking too much of a view in our positions? Or was it just that, hey, the markets went the wrong way, and that's just a course of doing business, we do our best, but we can't, some things are just inherently unpredictable?
Soren W. Schroder: Yes, I don't think that I -- it is not correct to say that I've instituted programs so that the company is taking less risk. We continue to perfect and improve the way that we take risk that we learn from, let's say, mistakes, and we have strong risk controls in place today as we have had. But it's a continuous process of improving how we look at risk. And over last year, 2014, risk management and trading results throughout Bunge were positive. They were positive, maybe not to the same extent that they had been in previous years simply because margin opportunities, opportunities for dislocation were less. But we had positive contributions from our risk management activities throughout 2015. EPA has become a little bit more selective. Markets last year were a bit random. It was a year of transition. First quarter was a good example of that. The early part of the fourth quarter was an example of that. So we've been a bit more cautious just because it wasn't so clear exactly how the transition would take place from this extreme tightness to what now appears like a growing surplus. So we're just very aware of the risk that we are taking. It is something that is discussed daily in Bunge, both through myself and all the other senior managers in Bunge have complete access and knew what risk we're taking on any given time. And I would say I'm happy with the outcome for this year, and it was a positive one but not as big of a contributor as we have seen in previous years for the reasons that I just mentioned.
Robert Moskow - Crédit Suisse AG, Research Division: All right. Well maybe I'll follow up on that. But my last question is with the $80 million mark-to-market charge potentially benefiting the first half of '15, have you raised internal expectations for what '15 can deliver? Have you factored that in?
Soren W. Schroder: Yes, we have.
Operator: We have no further questions at this time. I turn the call back over to you, Mark.
Mark Haden: Well, great. Thank you, Yolanda, and thanks, everyone, for joining us today. And as a reminder, both Soren and Drew will be speaking at CAGNY next Wednesday.
Soren W. Schroder: Thank you.
Andrew J. Burke: Thanks, everybody.